Operator: Greetings and welcome to the Gaming and Leisure Properties Third Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. I would now like to turn the conference over to our host Ms. Kara Smith of ICR. Thank you. You may begin.
Kara Smith: Good morning. We would like to thank you for joining us today for Gaming and Leisure Properties third quarter 2014 earnings call and webcast. The press release distributed earlier this morning is available in the Investor Relations section on our Web site at www.glpropinc.com. On today’s call managements prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities legation Reform Act of 1995. Forward-looking statements address matters that are subject risks and uncertainties that may cause actual results to differ from those discussed today. Examples of forward looking statements include those related to revenue, operating income and financial guidance as well as non-GAAP financial measures such as FFO and AFFO. As a reminder, forward-looking statements represent management’s current estimates and the company assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company’s filings with the SEC and the definitions and reconciliations of non-GAAP financial measures contained in the company’s earnings release. On this morning’s conference call we’re joined by Peter Carlino, Chairman and Chief Executive Officer; and Bill Clifford, Chief Financial Officer of Gaming and Leisure Properties Inc., also joining Steve Synder, Senior Vice President of Development, Desiree Burke, Chief Accounting Officer and Brandon Moore Senior Vice President, General Counsel and Secretary. Now I’d like to turn the call over to Peter Carlino. Peter?
Peter Carlino: Thanks Kara. You took away half of my introduction by introducing our team. Good morning everyone. Pleased to be with you this morning and happy to report this quarter here at Gaming and Leisure Properties. As has been our style for many many years, I will skip a lot of preliminaries and get straight to the issues that interest you. But I will ask Bill Clifford to walk through some of the numbers highlight the things that we think you might wish to know. Bill?
Bill Clifford: Thanks Peter. The relative to the quarter we are about $6 million over where we thought we were going to be when we gave guidance last time. That breaks down into basically four items, two of which are operational rents from our Columbus and Toledo properties came in about 700,000 better than we projected, obviously that’s a good kind and I think leads we are hopeful that both of those properties are continuing to gain ground and continuing to penetrate the markets and I think Ohio stabilizes and all the new properties and capacities online as I think we’ll continue to see better than average performance. In terms when say I average I mean relative to the rest of the countries [ph] I would expect to see that those two properties will continue to do well. Our Perryville and Baton Rouge properties did better by about 1.3 million that was really split fairly evenly between the two. Perryville, the cannibalization that we expected from the opening of the Horseshoe and Baltimore has been a little bit less than we thought. Having said that they were still very cautious on that given that it usually takes time and there is usually a lag between opening and when the real cannibalization stepped in. And so therefore we haven’t changed our numbers going forward there, they have remained the same that we have recognized at the initial cannibalization wasn’t as much as we thought. And then Baton Rouge has been performing better than what we expected and not really 100% sure why other than it seems like the market has become a little bit more rational around the marketing spend and things are settling back our into the more normal types of operation. So we are encouraged with that as well. That’s really from an ops perspective; we’ve had a one-time tax true-up [ph] relative for 2013 which was about $2 million of rent to the income statement. That is not something we are going to see again, that is the one-time item that effected the quarter. And then last item is as we approved for executive bonuses at the corporate level as I am sure you are all aware from our philosophy. A big part of our bonus is dependent on transaction, in and out-transactions. And as a result of what happened with the filing of the losses, we have reversed roughly $2 million out of the corporate bonus which was reflected in the third quarter earnings. And that’s pretty much it in terms of what affected our change from where we were on the regional guidance related to actual. So with that I will turn it back over to Peter.
Peter Carlino: Thanks Bill. I understand also this morning that there would be several questions regarding our press release concerning our previously announced transaction to acquire the Meadows Racetrack and Casino in our previously described efforts to find the third party to operate the facility. As we discussed on our second quarter call interest in the property from potential third party operators was robust and we engaged in extensive negotiations with several parties. However, upon discovering that the financial information provided by the Meadows was not only unreliable but we believe knowingly and intentionally false. We were forced to end discussion with those third parties. We have had several failed attempts to engage in the dialogue with the owners of the Meadows regarding the property’s performance and the information we received but we left with no choice but to take legal actions since we got no response from them. And that suite of course is available you can look at it in detail. The suite includes claims based on allegations of fraud for each of the membership interest purchase agreement that we have with them and each of our consulting agreement with them. We are seeking a return of the $10 million paid pursuing to our consulting agreement and unspecified additional damages but we will evaluate and consider all revenues available to us including rescission of the agreements. The timing resolutions of the claim set [Audio Gap] forth in the lawsuit of course are unknown and we’re not able to predict any effective suite we have on the floors due to transactions. I must say that filing a lawsuit like this is not something that we take lightly and was not done without significant consideration of all the companies, various constituencies and over 40 years of doing acquisitions I have never experienced a situation like what we have with the meadows where the provision of information we received from the seller does not appear to be honest and complete and we believe was intentionally misleading. But given in the filing of lawsuit we will not emphasize to be in a position to provide additional commentary on the Meadows transaction on this call will allow the lawsuit is proceeding other than what is required in our SEC filings. So, with that let’s operator open the floor to questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Joel Simpkins with Credit Suisse. Please proceed with your question.
Joel Simpkins - Credit Suisse: Yes, good morning guys. Well, Peter you saved me from asking about Meadows question because I know I won't get any answers. So, that’s okay, so I guess for your kind of churns or sort of regional gaming fundamentals and I guess if you guys look at your crystal ball I just looked to sort of have you frame out how you view the consumer right now, obviously we have potential tailwinds like lower gas prices from heating oil, we’ve also got hopefully an easier winter ahead of us just kind of what you’re seeing out there what’s your view on sort of state of the industry?
Peter Carlino: Joel, I like you tuned into the Penn call the other day. And look, I concur that it would appear there has been a bottom in the market I mean this has not been robust explosion of new business to be sure and so much of what is affected much of East coast gaming has been just regional competition. But the bad news in the sense is a good news I think that most of the bad things have been largely identified and certainly all the markets that Penn deals with, and with the exception of an eventual facility in National Harbor that would affect Charlestown I can tell you I was there this weekend specifically to see and to feel the pulse of activity down at Charlestown and it was pretty impressive. Look it’s not what it had been when we have a total monopoly at Penn, but I got check it [ph] there was no shortage of people on the floor, it was pretty impressive. So, I mean I think that the sense that regional gaming has somehow collapsed is way overblown, it’s still unit business these things will settle out in time and those a lot of handling it up in Massachusetts about competition it look at New Jersey, good news is for them there is a last in the market and get the cutoff business from some other unfortunate state. So, each of these situations has a story, I think it’s a reasonable one. I think we have seen the bottom borrowing some other collapse in the economy. But we feel pretty good about where the industry is. And are anxious, frankly, to see things kind of settle back to a norm and we still see potential out there for GLP which is really what this is all about. But any thought or concern about how we step and might worried about whether we’re going to get a rent check next month and whether it really clear is in we take an atomic bomb to affect such things. So, Bill do you want to add to that?
Bill Clifford : I really do that I mean unfortunately I sit in a big position all of you guys doing the call which is pretty much reliant on public information other than properties went down the Baton Rouge and the other one in parallel which I don’t, each one of those have kind of unique circumstances certainly parallel with the opening of some major new competitors has it’s on own issues and Baton Rouge is still kind of working through the transition of absorption of big new properties that was added to the market that quite candidly didn’t grow the market and it was nearly as much as would have been required for everybody to stay healthy and except that I think from what we’re seeing with the two properties is kind of steady as it goes, I don’t think there is anything that causes us to be concerned with either one of those properties but I really can’t say that’s indicative of what’s going on in the rest of countries because it’s a very small sample too.
Peter Carlino : Yes, I see a bigger sample I think it’s fine that’s the long and short of it I think that these markets are doing fine and you’ll see that as you look at the performance of our of other gaming companies out there so I maybe just taking this too far but I think things are fine.
Joel Simpkins - Credit Suisse: Okay, that’s helpful and in terms of the pace of deal flow obviously the Meadows has had a few nuances here to be candid. How should we be thinking about just sort of your process going forward and just how we should be thinking about sort of the timing pace of deals really heading into 2015 and 2016?
Peter Carlino : Well, that’s look, that is unpredictable and Meadows is a special situation there, it’s a transaction that we entered with a great deal of enthusiasm would love to do, but there are some unique issues with that property and with the transaction frankly then again I think are spelled out well in our lawsuit. I don’t think it makes many broader comment about our interest or the interest of others in doing a transaction with GLP. Look I think we have a general view it’s pretty consistent with the years that I was with Penn but no deal is better than the bad deal and we will proceed with great caution always protecting what we have for our shareholders and I know that Steve and I are going to be in airplane tomorrow talking with some folks about a significant transaction those conversation still go on. And I think everybody recognizes; one of these issues is that with what Penn did, this is my view, in splitting our company and creating this REIT, changed the industry and maybe changed the regional gaming industry forever. So what we had not anticipated was not only did we elevate the value of our shareholders interest we elevated the value of others as well. And that you’ve got some companies and assets trading that levels that frankly but for what we did it wouldn’t be there. And there is pressure as you know upon some. And others wisely considering can we do the same thing that Penn did? Perfectly reasonable I think many are going to find that, that it’s not as easy as they might have imagined and others just simply have applied a multiple that we find utterly unrealistic, bonus stuff will settle out in time we’re not remotely concerned about that. There is enough stuff that we’re looking at everyday Steve is on the road I’m on the road; Bill is on the road we’re talking to people. So I think we just have to let this play out, granted a year has gone by very quickly much of that year by the way has been focused on splitting the companies, building our new stuffs, moving in the new office space which yet will happen until next spring and just making all those adjustments they are all going perfectly well and then in the midst of that we’re out talking to a lot of folks. The Meadows transaction would have been perfect had it been a perfect transaction. On paper sound that exactly what we wanted it today. Unfortunately that one didn’t work out for reasons that I think we’ve described. But putting that aside the week goes on and I still remain optimistic. Steve do you want give any comment.
Steve Synder: Yes Joel, the only thing I would add to Peter’s comments we’ve seen no decline in opportunities from the standpoint of operators and that really is where you should expect to see us focus on a go-forward basis where we identify operating partners upfront and advance the potential transaction in conjunction with an operating partner.
Bill Clifford : We have said that before that clearly we have to know that we have a partner with this at a known price. In a situation where it’s not sale leased back but rather a straight up acquisition. Now again that would've saved what’s going on with the Meadows right now because then -- yes, we would have been linked with an operator and both of us would become a lawsuit I suspect. So that’s a unique situation. But Steve is right we’re working very hard to cultivate partners for the various things we’re looking at and so that we can bring those partners as to pair on the specific transactions that we’re looking at and that’s an ongoing thing right now. It’s just precise as we can be at the moment but I think we’ve recognized it that it’s straight purchase we got to do with partner upfront.
Operator: Thank you. Our next question comes from the line of Steven Katz with Goldman Sachs. Please proceed with your question.
Steven Katz - Goldman Sachs : Hi. Just a couple of questions, first, do you think that you need to add more people to due diligence on the go forward basis giving this issue? Second, can you quantify the benefit of the 2013 tax outcome that you’ve referenced and here is some of the operating statistics right before you discuss the $2 million elimination. And then third I guess given some of your comments about valuation of transactions, does this accelerate your thought process towards looking at other opportunities that with side of regional gaming?
Peter Carlino : We take the last one first. No, not really look, I have said that running the public company is nothing else and if you care as we certainly do as shareholders partners with all of you folks out there. We got to be prepared to do whatever it takes to move things forward but it’s way too early for us to sort of balance the gaming business way, way too early. Look if we have gotten to a transaction with The Meadows as we had hoped and expected would have been exactly where we would wanted to be from other things we’re working on this year, next and so forth. So that is as I say is normally that we wouldn’t expect repeat itself I think due diligence was, it’s really not a staffing issue, we’re certainly well enough staffed but the unusual resources to barrier. But there were some unique representations made there and I only heard let’s just leave it at that. I think the question on more staffing, the reality is we've always used outside resources to assist in the diligence process same thing as what we did in every transaction we do. So and we do that intentionally in recognizing that you can never have enough people to handle demand and the flow that they are going to happen. Because the reality is the way deals work is one day you are working on four deals and the next month you find that you are working on none. So you either don’t have enough people or you got too many people. And so we came to a conclusion long time ago that what we do is supplement our diligence with outside resources. I think on the tax thing, what I was trying to help you with is that was related to last year 2013. In the process obviously we accrued what we believed would be our tax liability for 2013 as we completed the tax returns and there were a number of issues especially because we were combined entity for good part of the year and then we separated and we had our own tax liability, Penn had theirs as it all sorted itself out. There is $2 million of rent to the income statement that quite candidly won’t happen again for one reason, if you recall last year GLP was a tax paying entity it was not a REIT so going forward we certainly won’t have tax variances of any size now. The only thing is remained to the tax entity is obviously the TRF that’s actually we considering which is our two properties in Baton Rouge and Toledo.
Steven Katz - Goldman Sachs : Sorry did you say that the income tax outcome was worth 2 million, I am sorry. $2 million.
Bill Clifford : Yes.
Operator: Thank you. Our next question comes from the line of Felicia Hendrix with Barclays. Please proceed with your question.
Felicia Hendrix – Barclays: Thank you, good morning. Peter you said you were just recently at Charlestown, it’s good to hear the color there. Just wondering when you guys and maybe Bill this is for you, when you think about your guidance just wondering what that is implying for an impact from Baltimore and then kind of along the same lines, can you give us any ballpark first thoughts on what you are seeing National Harbor could do there?
Peter Carlino : We are not going to give specific where we are at relative to Perryville. I think we are certainly expecting a bit of a decline obviously I forget a percent of that would give same thing. But the I think it’s a reasonably modest decline quite candidly and you will be able to see it within the results that you are seeing here. I think the best way to look at National Harbor is I don’t really believe that’s going to have any impacts on Perryville. I think between National Harbor’s location which first affects the other two properties that are in Maryland which should be the Maryland Live as well as the Horseshoe Baltimore. And for customers who get all way up to Perryville probably be an accident because we all goes it’s a long way mileage and it’s an incredibly long ways when you factor in traffic. So we don’t really expect to see any meaningful impact next year. Now next year couple of things are little bit interesting about Perryville is we are going to be having to purchase one part what’s happened is there is a new bill and there is a reduction in the tax rate in exchange for us acquiring all of the slot machines, acquiring those slot machines from the State which we are in the process right now negotiating. So that will help offset some of the cannibalization that we expect to see next year.
Felicia Hendrix - Barclays: Okay, thank you. And then just given the issues with Meadows which I think you’ve laid out pretty clearly is the property specific thing or a management specific thing, how we want to look at it, but also just the pace of your announcement, in terms of acquisitions. I was wondering if you could just comment on the potential for having competition in the market as Pinnacle and perhaps Lloyd are examining a similar structure to what you guys have.
Peter Carlino : Well listen I think I am not convinced either one of them are going to end up being competition. It’s possible and certainly I am sure they are working diligently and are spending oodles of money on consultants trying to make it happen. But until they actually announce that they are going to make it happen I think we are basically fall ahead as we felled ahead. And even if we do get competition I mean obviously it’s much better to have monopoly than to have competition. However, I think we look forward to competing in any of that. And the reality is they are going to find the same issues what we found, is that getting the transactions done when people expect multiples that are unreasonable isn’t productive and doesn’t help your share price. So I really don’t expect to see anything candidly much different on that. And I would expect and again I have no idea how they are going to get there or what form they are going to get there, what the leverage is going to be. But I would expect that we will be low we have a better rated credit and we should have better multiples and better rent coverage. So given those concepts I would expect that we would be a formidable competitor for them if they were try to enter into the REIT world.
Bill Clifford : Yeah, I think that says it pretty well. I concur it completely. And that’s what remind everybody that the purchase price that we would pay in any case is a combination of course of the multiple we paid for the acquired company blended with the lesser multiple that the operators paying for the operating part of the business. So that you roll in there with a nine or pick a number that sounds any historical standard very high, the member attire still when you roll in take you I’m not going to lay out what we will, it’s going to be significantly less so that the actual multiple paid by GLP is significantly higher and there is not infinite room so I think some of the euphoria around this just looking at trading multiples and so forth has been completely unreasoned and all of this will settle out, again everything will come in time. So people figure this out or not as I say, I would prefer easy pickings, no hard work and simplicity; life doesn’t work like that. So we’re fine and we’re just going to be patience work through the deals that we’ve got in hand right now and again there as I like to say long enough to get lucky.
Felicia Hendrix – Barclays : Agree, and then you mentioned in the complaint that you did have some parties ever interested in the operations of the Meadows and for reasons that you made very clear that interest waned. But could those parties be interested in partnering with you in future acquisitions?
Peter Carlino : But I’ll let Steve get to that.
Steve Synder : No, you actually little rightful, we commented in the second quarter earnings call in terms of the level of interest the number of parties and they all like the business model, they understand the asset light approach and they are looking to deploy capital and to leverage management expertise in that way. So I would not expect this to have any impact whatsoever.
Operator: Thank you. Our next question comes from the line of Shaun Kelley with Bank of America Merrill Lynch. Please proceed with your question.
Shaun Kelley - Bank of America Merrill Lynch: Maybe just kind of more nuance question as it relates to the continuing M&A opportunity which is, how much financing capacity do you guys have available as long as the Meadows situation let’s call it is up in the air. Does that impact -- allowed in financer bar to do sizable deals elsewhere?
Peter Carlino : I think, as any impact, I mean the reality is, as we get ready to do transaction and start expectation we funded half with equity and half with new debt I don’t see it having any limiters in terms of number or just size of the deal that we can do. Now we having the step that back a little bit through November of next year we have the limitations on – equity we can issue but that’s in the billion so I’m not -- it's not like it’s a real limiter it’s not that it kind of really hold this fact let’s put it that way. We’d all be thrilled if we were running into that limiter. So the quick and short answer to your question is that we don’t think it has any impact on our ability to get transactions done and financing to make that happen.
Shaun Kelley - Bank of America Merrill Lynch: Thanks, that’s helpful and then my second question would be on just a rent escalator you guys give some disclosure about at least how close you think the calculated ratio is for the first 11 months of the year, and I think as I subject to a few adjustments so question is just, I know that’s been I believe excluded from your guidance but as I mean given how close the ratio should be, or is that kind of day-to-day in terms of possibly back on the table for the coming 12 months?
Bill Clifford : Yes, let me address here what we put in the press release. The press release number is unadjusted number based on actual results without any adjustments and within the national leased agreements there are items that are called for, that are required to be calculated and adjusted. I think it is going to be very close, pretty much however we look at it, but I’m encouraged to think that there is a possibility that we might still get the escalator. However, we’re not going to know that until we’ve gotten that resolved and negotiated and final results coming from Penn through the period ending in October.
Shaun Kelley - Bank of America Merrill Lynch: That’s helpful, my last question would just be, you mentioned before in prior discussions the opportunities on the non-gaming side came up a little bit earlier and this call is well and my question is simply, could you just give us a little bit more background of the high level, what kind of business attributes might be interesting to you couldn’t help but notice that a large theater team, they have put themselves on the block to referenced and so we’re just curious what’s your thoughts there.
Peter Carlino : I think we kind of suggested that, that is not priority one, two or three for us right now. I mean it has happened that people have introduced this to other things that could leased normally if you tied to leisure if not gaming. But again, it’s not a priority for us. We have looked at some other things and not a priority if we exercise caution and what we acquired in the gaming world you can imagine that would take three times the effort to think about something outside of that. So, look anything is possible but at the moment it is not on the horizon.
Operator: Thank you. Our next question comes from the line of Thomas Allen with Morgan Stanley. Please proceed with your question.
Thomas Allen - Morgan Stanley: Hi, good morning. You talked earlier about how going forward you’re really going want to identify operating partners upfront, does that limit you at all when you’re looking at larger portfolio transactions. I think there have been some instances where may be if that’s bigger portfolios and some operators won’t want to operate in every state that these three portfolios operate in. So do you think that could be a limitation?
Peter Carlino : I mean that’s a very, very fair question and the answer yes, I would describe it as an limitation it’s just a reality, yes, it’s complexity, and frankly it’s a piece of complexity that we want to demonstrate candidly that we can handle. And what it requires of course is cultivating and I know Steve has spent a tremendous amount of time on the cultivating side working with partners who could participate. So, the difference as we have learned from The Meadows although as I say; the things that occur here wouldn’t have changed even if we had a partner upfront. But is that -- we doubled our efforts to identify operators. There was no shortage of prospects and there would not have been a shortage had we not run into the issues that we did. So it’s cultivating people being able to keep in a dialog with these folks finding out what their appetites are and having a view about how you would carve up certain things as regards to that. So we’re well down the road on that kind of a thought process but the really is we got to be prepare to do that and we are. Steve?
Steve Synder: And Thomas you can draw an example from what we’ve done where we’ve provided loans to an operator in the form of Casino Queen guys to facilitate a transaction. So you should expect that as we said we would look for an operating partner, that operating partner has limitations either regulatory or market wise where they’re looking in a large portfolio and there might be a few properties that don’t sit for them maybe that’s the situation where we could use on an interim basis the TRS to facilitate it. The goal of course to help accommodate a transaction whether it’s in the form of a loan or whether it’s in the form of an interim operating presence I would almost call it an immaterial level of the portfolio.
Peter Carlino : Well, or bring another operator I mean there is a couple of situations that we’ve looked that or looking at that would requires a couple of operators. And that’s okay. And as I said with the offset it is our desire to demonstrate our ability to do this complex stuff because we are quick to do it. So that’s --.
Thomas Allen - Morgan Stanley : Thank you. And then just talking about the loans that you’ve done you talked last call about things in discussions with parties in New York about providing financing anything you can update with that.
Peter Carlino : We’ve provided a sale leased back mechanism where should we state that a built-to-suite mechanism on one of the Southern Tier New York projects so wasn’t contemplated to be in the form of loan, it was contemplated to be in the form of financing the real property and entering into at least with that operator. I can’t really comment on what may or may not happen in the state of New York, they continue to suggest they’re going to do something by month end, obviously month end is the end of this week. I think the selection of the winning licensees will probably be delayed until after the election but we have to your point provided financing support for one of the applicants.
Steve Synder : Listen, I think I said it at last quarter’s call that we were involved with several participants in Massachusetts who we would have been quite happy to finance and partner with if you will, have they have been successful I mean what’s more ideal in a limited license and state to be a partner in those located facility where you know that the range of performances between good and extraordinary good that’s the kind of deal that we’d love to have unfortunately some of the folks are talking with. We’re not among the winners but yes, we’ll even do a Greenfield if it gets down to the right property the right investment and so forth.
Thomas Allen - Morgan Stanley : And apologies for my ignorance here but have you disclosed who that partner is? And then just follow-up question, are there other Greenfield opportunities you’re looking at in other state?
Steve Synder : Yes, we have disclosed because it’s part of the licensing process it was the traditional folks and being obtained in the Southern Tier. So we did participate in their application, we participated in their presentation. It’s an exciting project that properly in its region achieves more than any others in terms of the economic development given its location in Broome County and really the distressed nature of that Southern Tier of New York. In terms of other Greenfield’s opportunities I think to Peter’s point those are more likely to be done in limited license jurisdictions and they’re just on that many of them. We don’t see a demand for additional capacity in most of the regional gaming markets and in fact in many of the destination markets in North America. So Greenfield’s opportunities are going to be few and far between.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Joe Greff with JPMorgan. Please proceed with your question.
Joe Greff - JPMorgan: Thanks guys I’d all set.
Peter Carlino : Okay.
Operator: Thank you our next question comes from the line of Carlo Santarelli with Deutsche Bank. Please proceed with your question.
Carlo Santarelli - Deutsche Bank: Thanks guys all my questions have been answered as well.
Peter Carlino : Going well.
Operator: Thank you. Our next question comes from the line of David Hargrave [ph] with Stern Agee. Please proceed with your question.
Unidentified Analyst : Hi, I think at some investor conferences earlier in the year you had suggested that perhaps you guys had looked at Isle of Capri’s assets. And given the passage of time I am just wondering if you could tell us sort of what influenced your decision when I assume that’s finished now and I am wondering if it was a question of pricing and expectations for multiples or that was more question of a condition of the properties or perhaps the geographic footprint. Could you give us some color as to what’s factored into your decisions there?
Peter Carlino : Actually we can’t. My answer is the standard answer that I have been using I guess at our public calls for last 20 years. You can always assume we are talking to everybody all the time, in the sense that if it’s out there its alive, it’s a Gaming Property and I don’t care who owns it we probably have designs upon it. So and that’s not a flipping answer that’s probably true that doesn’t mean we have any chance of our getting probably myths on it. But that is our desire. And so we have looked at that.
Steve Synder : Anything and everything we look like that.
Peter Carlino : But we can’t specifically comment on that or any other prospect.
Unidentified Analyst : Okay, with respect to the Meadows deal, are you able to say if you try to recut the deal pricewise before things fell apart and you ended up getting into a dispute.
Peter Carlino : But before we would even talk about something like that frankly we have the talk to the owners. And they from the very beginning were less than forthcoming and willing to talk. So kind of it’s hard to have a one way conversation. I think now will be talking.
Steve Synder : We are not
Peter Carlino : Well maybe, through our lawyers but we will be talking.
Unidentified Analyst : I know you said that operationally you might have some limitations in terms of visibility but there is been some interesting conversations coming up at G2E and elsewhere where folks are talking about demographic shift. For example if we look at restaurants and behavior of Millennials versus Baby Boomers, the behavior is dramatically different. There is a consultant a gaming consultant who made a comment, he said that for every 10 years that go by the average age of slot players in the database go up as much as 8 years. Are you seeing a significant amount of aging in databases? Any color you could give us would be helpful. Thanks.
Peter Carlino : I don’t think we are Bill. This gets to a fundamental question. I think you are asking will younger people gamble. And do they really gamble upon the same things that their parents did? My suspension is not exactly so. But that the industry does and will evolve new products, new ideas and so forth. And you see that happening on gaming floors I think every day. So I’m not -- imagine what gambling in one from another going on since the beginning of time period. And it’s not going to disappear tomorrow not with this or any other generation. Bill?
Bill Clifford : But I think listen over the course of last 30 years 40 years there is been a tremendous ebb and flow between table games and slots. And if you go back to when I first came in the gaming industry, table games was a dominant game of choice. And then it was a big deal when Las Vegas went to 50-50 where slot machines was 50% and then it since gone higher. In regional gaming is certainly been higher on the slot side. And I would agree that we are starting to see a bit of the shift back toward games, table games are starting to showing more signs of better demographics in terms of younger people are choosing games of table games and there has been a whole bunch of new games invented on the table game side that are more entertaining than where used to be it. In the middle days it was basically three games, it was 21 perhaps in roulette. And maybe if you had somebody from Japan or Korea they played some [indiscernible]. But since then I mean there is still whole proliferation of table games.
Peter Carlino : I think televised pokers had a huge effect on Baltimore and Rouge…
Bill Clifford : These kind of games. I mean poker is still been gone up and down that pokers still a relatively small percentage of the total gaming picture. I would say that looking forward I would expect that what you will probably see is to the extent that you are right about the change in demographics is what you will see is an increase in table games play and maybe to tremendous slot play. But that doesn’t mean that one of them going away and I think on the combined basis it will continue to as it had for last 3000 years where gaming is been an integral part of people’s choice.
Operator: Thank you. Ladies and gentlemen we’ve come to the end of our questions. I would like to turn the floor back over to Mr. Carlino for any closing comments
Peter Carlino: Not much to add except we look forward to talking with you all next quarter. And we appreciate your questions and we clearly understand where you are going. So rest assured that we are going to work through current legal issues which will not affect, I want to underscore, not affect anything we are doing going forward. So thanks again. And see you next quarter.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.